Operator: Good morning. My name is Amy, and I will be your operator today. At this time, I would like to welcome everyone to the Home Capital Group, Inc. Second Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you.  Jill MacRae, Head of Investor Relations, you may begin your conference. 
Jill MacRae: Thank you, Amy. Good morning, everybody, and thank you for joining us today. We'll begin the call with remarks from Yousry Bissada, President and Chief Executive Officer, followed by a review of our financials by Brad Kotush, Chief Financial Officer. After the presentation, we'll have a question-and-answer session for analysts and investors. With us on the call to answer your questions are Ed Karthaus, EVP of Sales and Marketing; Mike Forshee, EVP of Underwriting; David Cluff, Chief Risk Officer; Benji Katchen, Chief Digital and Strategy Officer; and Victor DiRisio, Chief Information Officer.  Before we begin, I'd like to caution listeners that this conference call may provide management the opportunity to discuss financial performance and conditions of Home Capital. And as such, comments may contain forward-looking information about strategies and expected financial results. Various factors could cause actual results to differ materially from results projected in forward-looking statements. Accordingly, the audience is cautioned against undue reliance on these remarks. Finally, a link to the slides accompanying this live webcast is available on our website at homecapital.com. I'd like to turn it over to Yousry Bissada.
Yousry Bissada: Thank you, Jill. Good morning, and thank you for joining us for our second quarter 2019 conference call. This morning I'm pleased to speak with you about our positive Q2 results. I'll discuss the growth Oaken and give you an update on the progress of our IT transformation program called IGNITE. Then Brad will review our financial performance in more detail. We're pleased with our results because they're beginning to reflect the impact of some initiatives that we at Home Capital have been working very hard at for the past few quarters.  Our focus on lending to the high quality market segments we have targeted, primarily the business-for-self borrower and the new Canadian is producing good results. We delivered significant improvements in revenues and margins. Most notably, Home Capital delivered a 43% year-over-year increase in earnings per share compared with Q2 of 2018. We achieved this by focusing on our strengths, by executing on our business plan, by concentrating on the markets we know best, by operating within our sustainable risk culture, and by strategically distributing some of our excess capital.  As a result, we have created substantial value for shareholders both organically and by buying back our shares at a discount to book value through our normal course issuer bid. Home Capital continues to be a partner of choice in alternative mortgage lending. Recently we have seen the term alternative used to describe mortgage investment companies or MICs and private lenders that are not required to comply with B-20 regulations.  When I refer to alternative lending, I'm referring to our target market of B-20 compliant mortgages and I use the term interchangeably with near-prime. Our single-family originations grew by more than 10% over the same period in 2018 with particular strength in our alternative mortgage segments. Our single-family mortgages in this alternative segment were nearly $11 billion at the end of Q2, 12% higher than at the end of Q2 last year.  During this quarter, we saw some encouraging signs from the housing market. Sales activity is picking up with particular strengths in the GTA. The latest data on economic growth, employment and interest rate expectations are consistent with our outlook for a stable and balanced real estate market for the rest of 2019.  Originations in our commercial business were on par with last year's volume. Following our quarter end, we welcomed James Pelletier to Home Capital as SVP, Commercial Lending. James comes to us with over 25 years of financial service experience with a concentration in commercial lending and risk management. Most recently, he was Vice President, Toronto Construction and Real Estate with a large Canadian bank. We're excited to have him as a member of our team.  We're just enthusiastic about our progress on the deposit side, as well as where we continue to be a partner of choice for our customers. Our Oaken channel deposits passed the 3 billion mark in April up 28% over June 2018. 89% of these deposits are in terms GICs, which indicates the confidence our customers have in the Oaken brand. Having our customer deposits in term investments rather than in demand deposits, gives us low liquidity risk and better ability to match our deposits with the term of our mortgage loans.  In an environment with multiple competing investment options, our customers recognize the appeal of a guaranteed savings solution with a competitive rate as part of their financial plans. Looking ahead, our plans for Oaken include a greater implementation of digital technology and continuous enhancement of the user experience. What will not change is our knowledgeable and helpful people delivering uncomplicated solutions. The personal relationship is something that digital technology will enhance rather than replace.  We are making steady progress with our IGNITE program, which is the name we have given our multiyear technology investments initiative that will benefit our operations. Key accomplishments in the quarter include: The delivery of the first phase and beginning of the second phase of our SAP implementation to ensure we have a solid digital infrastructure to scale; Completing the transition to paperless underwriting and funding in our residential and small commercial loans. We're now able to move from accepting applications to funding the loan completely paperless; A strong indication of the opportunity for optimization and automation; Setting up robotic process automation infrastructure and implementing the first automation in production, reducing manual input and potential for error. The first process to be automated was property tax administration. This is time consuming manual process that requires a high degree of checking and verification. Additional automation rollouts are plan for the third quarter.  We're continuing migration of our data centers and data strategy to the cloud in partnership with Microsoft and IBM. This migration is about 30% complete. We expect it will be 100% done by year-end and the ultimate goal of having our entire banking system in the cloud. This will allow us flexible and scalable systems. IGNITE is a program that will change the way we do our mortgage and deposit businesses and touch everyone in the organization along the way. I will continue to share progress with you in future conference calls.  Now, I'll turn the call over to Brad to discuss our financial results. 
Brad Kotush: Thanks, Yousry and good morning everyone. We will continue with the investor presentation beginning on Slide 6. Home Capital’s second quarter earnings were $0.53 per share, or $0.58 per share after adjusting for items of note associated with implementing or IT roadmap. On an IFRS basis our earnings grew 43% over the same period in 2018 and on an adjusted basis they grew by 56%.  Slide 7 shows some of the drivers behind our growth and reported earnings. The two most significant drivers were an increase in net interest income compared to the second quarter of last year, and a reduced number of shares from repurchases made in our substantial issuer bid completed in December of 2018 and our normal course issuer bid in 2019, offset by moderately higher expenses.  Slide 8 and 9 of the investor presentation show highlights of our second quarter performance on an IFRS basis and after adjusting for those items of note. We will not speak to each of these data points right now. These metrics are highlighted for ease of use and are discussed in more detail in the MD&A.  Slide 10 has a summary of the adjustments treated as items of note. We expect our financial reports to include adjustments for items of note connected to our IT roadmap implementation for the duration of the project, expected to be staged over three years.  Moving to Slide 11, on our single-family residential originations. We originated over $1 billion of our traditional near prime mortgage loans an increase 12.2% from a strong Q1 and 15.6% from the second quarter last year. We deemphasized our prime Accelerator product this quarter as yields in this market were not consistent with our margin objectives.  Looking ahead, we believe we will have an effective funding solution to make Home Capital more competitive in that market segment.  Slide 12 shows the growth of our on balance sheet loans up by more than $1 billion or 9% year-over-year. The latest data from the Bank of Canada shows that year-over-year residential mortgage loan growth was 3.1% in June of 2019. Clearly, our loan growth at Home Capital was well above that of the overall market.  Home’s net interest margin rose from 1.91% in Q2 2018 to 2.09% in our most recent quarter as shown on Slide 13. Margins were higher in the quarter due to higher overall asset yields as a result of our disciplined risk based pricing in all our market segments. Deposit costs were slightly higher in the quarter but are trending down and there were some benefit from asset mix.  We are also not sacrificing credit quality. Slide 14 shows the high credit parameters of our loan portfolio. Our average Beacon score on new originations was 703 this quarter while the average Beacon score of our residential loan portfolio as a whole was 699. The average loan to value of our single-family residential mortgage book was 59% at the end of Q2. Our net non-performing loans on Slide 15 are down slightly from Q1 to 0.47% of total loans outstanding. The decline from 0.49% is due to a decrease in non-performing commercial loans. All our loans are well provisioned and within our internal risk tolerance. Our annualized net write-offs increased from 0.02% last quarter to 0.09% in Q2 as seen on Slide 16, as a result of the write-off of one specific loan in our commercial portfolio.  Annualized net write-offs in our residential portfolio were 0.02% for the quarter and 0.01% for the year-to-date. Annualized provisions were flat with Q1 at 0.15% of gross loans.  Provisions in Q2 were due primarily to loan growth in the residential portfolio and a higher allowance estimate on stage 2 commercial loans.  Our funding mix is on Slide 17. As Yousry mentioned, our Oaken channel surpassed $3 billion of customer deposits in the month of April, the majority of which are in fixed term GICs. Oaken deposits have grown to 28% from a year ago levels, driven by growth in customers as well as growth in deposits per customer.  Please turn to Slide 18 for a view of Home Capital’s liquidity at the end of the quarter with liquid assets of $1.32 billion, not including the $500 million standby facilities. In addition, you can see by your maturity schedule that our near-term deposit maturities are more than covered by maturing mortgages. Slide 19 shows our capital and leverage ratios. As of June 30, 2019 our CET1 was 19.49%, up from 18.99% at the end of March, reflecting our addition to capital to retained earnings offset by growth in our risk-weighted assets. Our leverage ratio was up slightly from last quarter to 7.77%. Slide 20 shows the progress of our NCIB. As of August 2nd, Home had repurchased nearly 3.5 million shares out of our approved purchase limit of 4.75 million shares at an average price of $18.05 per share, at an average 35% discount to our quarter end book value of $27.80 per share. We intend to purchase remaining 1.25 million shares authorized under our NCIB during the remainder of 2019. As we’ve said in the past Home has committed to continue deploying our excess capital in a manner to create sustainable value consistent our long-term strategic objectives.  The Board and management regularly review all the options for returning capital, including payment of dividends, renewing our normal course issuer bid or completing another substantial issuer bid. At this point, our priority is completing the NCIB because we believe our own shares are an attractive investment.  I will now turn the call back to Yousry for concluding remarks. 
Yousry Bissada: Brad and I will invite institutional investors, analysts and members of the investment community to join us on our upcoming Investor Day which will take place this fall in conjunction with our third quarter reporting. The Investor Day will give Home Capital an opportunity to provide an update on our operations and discuss developments in our industry and introduce some key members of our leadership team. The details and registration information will follow closer to the date. We hope to see many of you there.  And now I'll turn it over to the operator to poll for questions.
Operator: [Operator instructions]. Your first question comes from the line of Nik Priebe from BMO Capital Markets. Nice your line is open.
Nik Priebe: Just want to start with the question on the net interest margin in the quarter. It looks like there was a pretty good tailwind for the top-line in this period. I was just wondering if you could help us sort of rank some of the factors that impacted net interest margin, particularly on the non-securitized portfolio versus the prior quarter, whether higher prepayment income play the factor, lower funding cost, asset mix changes, or whether there are any other one-time factors in the mix? Just some insight on the quarter-over-quarter change would be appreciated? 
Brad Kotush: Yes. Thanks, Nik. When you are thinking through our NIM, we did have some prepayment income but it was lower than the previous quarter. So we are really looking at mostly rate increases we’re able to achieve through our pricing.
Nik Priebe: Okay. And I did take note that I think Home Trust’s posted mortgage rates were just lowered in July. I was just wondering if you could provide a bit of color on what motivated the change, whether that's a response to a decline in funding costs and just what sort of competitive dynamics you're seeing in the alt space at the moment.
Yousry Bissada: We didn't lower our mortgage rates in July, Nik. Are you thinking of deposit rates maybe? But our mortgage rates have stayed steady for some time now.
Nik Priebe: Okay. It was just the posted rates on the Home Trust web page that I follow, but...
Yousry Bissada: Okay. I'm going to guess maybe you're looking at our A business, which is our Accelerator business, a very small part of our business. Alternative mortgage, near prime business, the rates have not changed for some time. But our A business may have changed, a very small part of our business. And it's just to keep us in the game. And I think that's what you're probably looking at.
Nik Priebe : Got it. Okay. I think it clarified that. The other thing I wanted to ask, the stocks obviously performed exceptionally well this year. As we look beyond the current NCIB program and we think about future capital return to shareholders, does the fact that the stock is trading at a narrower discount to book value start to sort of influence the buyback versus dividend decision a little further out? Maybe it's a bit premature to discuss this here in August, but just wondering if I could get some preliminary thoughts on capital return beyond 2019?
Brad Kotush: Yes, Nik, I think we will continue to prefer repurchases when the stock is trading at a discount, I think is the easiest way to answer your question and most direct way. 
Operator: Your next question comes from the line of Marco Giurleo with CIBC. Marco, your line is open.
Marco Giurleo : My first question pertains to your commercial growth outlook. I noticed a 1% decline, sequential decline in the book this quarter. I know there has been some changes in the leadership for that portfolio. So could you perhaps give some color as to your expectations for the remainder of the year? And perhaps comment on whether or not the decline in the book has to do with some of that change in leadership?
Yousry Bissada: So we intend to grow our commercial book. It is about 10% or a little below 10% of our overall book. In the past it had reached around 15%. So over the coming years, I think we would grow it again to make that ratio. We have very good relationships with third parties that we do commercial mortgages with. And James is charged with going out and rebuilding and building those relationships to increase our volumes and it will be a good and important part of our growth going forward.
Marco Giurleo : So just in terms of the -- I guess the current pipeline for opportunity, do you see that as being robust?
Yousry Bissada: Yes, it is. And going to get more robust. I realized I didn't answer the first part of your question 1% growth is just -- we look at -- without leadership -- we had very good people in the jobs running the business, and they kept the machine running and now it’s just time to go out and grow it.
Marco Giurleo : And my next question is with respect to expenses. After adjusting for the items of note highlighted in the deck, your adjusted expense base came in at $57.9 million. I believe you were targeting something closer to $60 million a quarter through the rest of the year. Is that still a good target or are there incremental cost savings that you've been able to carve out?
Brad Kotush: Marco, -- we were -- when we discussed the $60 million before, we had assumed that that would be the average over the course of the year. So we expect that those costs will increase in the next two quarters. Some of those spending that we had incurred was delayed on some of our other projects. So as we ramp those up -- and these are separate projects from the IT Roadmap, so they're not adjusted as an item of note. So we would expect to have the next two quarters at higher than $60 million, so that we would average $60 million over the course of the remainder of the fiscal year.
Marco Giurleo: All right, great. And if I could just sneak one last question on the margin. Just based on the trajectory of GIC rates through the year, do you anticipate that some further tailwinds for the margins and -- for the overall margin in the second half?
Brad Kotush: Yes.
Operator: Your next question comes from the line of Geoff Kwan with RBC. 
Geoff Kwan: Just wanted to get back on the return to capital, just how you’re thinking about the ROE expansion over time because I think you talked about ideally getting to the mid-teen ROE. Can you just kind of refresh us on the timeframe that you think that that might be achievable? But also could you roughly ballpark how much of that versus the current ROE comes from optimizing the capital base versus growing the earnings?
Brad Kotush: Thanks, Geoff. We estimate that we'll get to the mid-teen sometime in the next two to three years. And that's going to be a mix of capital return and profit expansion.
Geoff Kwan: Are you able to kind of say ballpark, like the mix between how much is the capital return versus earnings?
Brad Kotush: Well, we're going to increase from 8% to 13%. That would be worth 2.5% and 2.5%.
Geoff Kwan: Okay. Kind of 50-50 then from optimized capital? 
Brad Kotush: Yes, 50-50 is a much better way to describe it. Thank you.
Geoff Kwan: Okay. And just the other part. When thinking about that improvement in the earnings, it sounds like with the way you grew -- you talked about the business and investments you're making is, it's really more driven by the expense base growing at a slower rate than the revenues as opposed to some of the investments you're making, you might actually see at some point maybe a bit of a step down on an absolute basis of the expenses. Is that an accurate way to think about it?
Brad Kotush: What we're anticipating is as we implement phases of our IT roadmap and other technology innovations our productivity would increase. So we would definitely see our revenue growing at a faster rate than expenses. There might be some incremental increases. But certainly we're focused on growing that top-line through margin expansion and loan growth and then being able to hold our expenses steady with only some smaller incremental increases.
Geoff Kwan: Okay, and if I can sneak one last question. Is moving on the AIRB, is that -- obviously you've got a lot of different products on the go right now, but is that something on the radar? And if so, like what might be the timeframe that you might try to go down that road?
Brad Kotush: Well, as you know, Geoff, our issue right now is not capital, it’s capital deployment and how to more effectively do that. We would certainly look at AIRB as the appropriate point. There are some capital changes coming through from [OSBI] that would be effective I think in 2020 -- 2022 sorry. So we will keep our eye on some of those changes to see whether the investment in moving AIRB is if as and when it’s appropriate.
Operator: Your next question comes from the line of Cihan Tuncay with GMP Securities. Cihan your line is open.
Cihan Tuncay: Just a couple of quick questions. First, could you talk to the split between -- of the originations in the quarter, could you talk to the split between new borrowers and renewals? What was the share or order of magnitude.
Jill MacRae: I have to get back to you on that one Cihan. 
Yousry Bissada: We’re just looking in, we’re just trying to give you the answer but we may have to get back to you. 
Cihan Tuncay: Sure. Well I can continue with a couple more questions. Just quickly back to the NIM -- previous questions on the NIM. So obviously 2.09% is ahead of what you had discussed before in terms of your outlook more in the range of 2.0%. Do you think the 2.09% is a sustainable level for -- or order magnitude for the balance of the year? 
Brad Kotush: Yes, we should. If further trends continue that is a reasonable expectation. 
Cihan Tuncay: And just on going back to the capital levels. Brad maybe if you can help me out here. So of the -- at the beginning of the year there was the excess $150 million at the parent company level that was not included at the Home Trust level CET1 ratio calculation. I know you been paying at the NCIB with that excess of capital level. Just wondering how much of that is still left?
Brad Kotush: We have roughly greater than -- roughly $100 million we anticipate depending on where the current share price is probably taking another $30 million to buy the remaining shares under the NCIB. 
Cihan Tuncay: Okay thank you. And then one last quick question. You’re talking about different ways to deploy excess capital levels. We saw in the quarter you made a small investment in Lendified. Wondering what the relationship is with Lendified and if you could talk to your broader acquisition pipeline going forward when you think about how you deploy capital?
Lendified: We took a convertible debenture it was $3 million. So it's not a material investment to us. But in terms of financial where we hope to do it is work with them as we implement pieces of financial technology and incorporate into our business. So that’s where we see the biggest thing there. Right now we're not focused on M&A. I think we have a lot of things to do in our current business to implement our strategy. However, that doesn’t mean that may not consider any opportunistic acquisitions or opportunities as they develop but there is nothing on the near-term horizon that we can see.
Operator: Your next question comes from the line of Brenna Phelan with Raymond James. Brenna, your line is open. 
Brenna Phelan : So starting on credit, could you just give us a little more detail on the re-measurement due to transfer to stage 2 in the commercial book?
Jill MacRae: Yes. Just one second, Brenna, and we will get you an answer to that.
Brad Kotush: It's change in model inputs related to volatility.
Brenna Phelan : Volatility. Is that -- do we think of that as being macro driven or is that specific to some of the -- specific credits that you’re underwriting?
Brad Kotush: Macro.
Brenna Phelan : Okay. Anything -- because generally it's like -- as you said in your commentary, employment, inflation, interest rates are trending in the right direction. What is that specific input related to?
Brad Kotush: Vacancy rates.
Brenna Phelan : And then switching up to the single-family residential, same thing, stage 3, change in risk parameters and models. Is that also macro inputs or something specific?
Brad Kotush: We're considering there are fluctuations in normal course.
Brenna Phelan : And then switching to the other consumer retail book. Is any update to give us on the strategiv review that’s going on there and some goal posts on the outlook for -- the outlook for how you expect provisions to trend in that portfolio through the remainder of the year?
Brad Kotush: In answer to your first question, we're evaluating the different segments and whether we can, as we said, on the last call, grow them, what their values to us is part of the overall corporate strategy including the ability to cross sell, or use or to better serve our clients by offering alternative products. So that continues and we expect to have a conclusion to that by the time of our next conference call. In terms of the provisioning, we've seen some of those stabilize over the course. We did make some additional provisions, but we don't currently see any of the large risk parameter changes or things that we're doing in relation to providing for those credits, similar to Q1 of this year.
Brenna Phelan : You don't expect them to be similar to Q1 or you think Q1…?
Brad Kotush: We don’t -- we do not expect to have a significant single movement as that we had in Q1. 
Brenna Phelan : And then last one from me. Just on the move in deposit funding costs in the quarter. Could you walk us through some of the moving parts in that small sequential increase in the context of rates generally moving down? Is that funding mix? And then following on, you spoke to an effective funding solution for the Accelerator program. Maybe a little bit of color on that?
Brad Kotush: In relation to deposits, it’s mix. In terms of the overall funding facilities we’re in discussions with a number of parties in terms of being able to implement different funding strategies. I referred to our implementation of the prime warehouse facility last year and then the repo facility. So we're looking at those sorts of alternative funding channels to be able to more effectively compete for that in prime insured business.
Brenna Phelan : Okay, so when you are saying deposit mix, is that Oaken versus broker or are you terming out the duration a little bit?
Jill MacRae: Operator, we'll take the next question.
Operator: Your next question comes from the line of Graham Ryding with TD Securities. Graham, your line is open.
Graham Ryding: Good morning. Just want to follow back on the margin lift. It was quite material quarter-over-quarter. I believe your messaging last quarter was, we expect sort of around the 2% mark is a reasonable expectation. There could be some lift towards the end of the year, as funding costs -- or expense of funding costs from last year drop off. So I guess my question is, generally did anything change materially quarter-over-quarter to sort of drive that material lift in your average mortgage yields? 
Yousry Bissada: It’s Yousry here. Because government of Canada went down, GIC rates also followed down over time, but we did not move our mortgage rates. So it's difficult to predict those things in advance. But that wound up and we were able to hold them and we think we can still hold them and continue to keep the margins going. 
Brad Kotush: Yes, Graham, the most significant factor was our ability to maintain rates on our mortgages. 
Graham Ryding: Okay. But your -- I guess your weighted average yield on your mortgages, overall went up quarter-over-quarter. So is that a reflection of just the mix of your overall portfolio? Why would it actually increase quarter-over-quarter …?
Yousry Bissada: It's mix. And generally one would think of mix as term but for us it's also the different Beacon and different locations that mortgages come in. We price differently. So the combination of those things give us a higher weighted average. 
Graham Ryding: Okay. And I guess it's also just the -- what's dropping off versus what you're putting on dynamic as well. Okay. And then just generally, your loans under administration, it sounds like -- in terms of your outlook or your expectation, it sounds like you're pretty comfortable with your ability to compete on the Alt-A side right now. And commercially, you're looking to ramp up but the Accelerator business is competitive. So when we pull all those pieces together, what's a reasonable expectation on your part in terms of growing the overall portfolio? 
Yousry Bissada: I didn't hear what you said about the Accelerator. But the alternative business, the near prime business continues to be healthy. We do expect to continue to flow the business there and grow the commercial. As we've said, James is here and his task is to grow it. On the Accelerator -- I didn't hear what you said, but even on Accelerator, we've been working on some funding mechanisms that should produce volumes going forward. You won't see anything immediately but over the coming months to produce on a more regular basis, higher volumes in the A Accelerator product.
Operator: [Operator Instructions]. Your next question comes from the line of Jaeme Gloyn with National Bank. Jaeme your line is open. 
Jaeme Gloyn: First question is on net impaired loans growth in the quarter sequentially and year-over-year. In the single-family portfolio, I am wondering if you can sort of break that out in terms of either geography or some other factors that's driving that increase?
Brad Kotush: It's just broadly based. There is no specific factor to -- that we can attribute to that growth. 
Jaeme Gloyn: Is there a change in any sort of credit metrics in terms of the underwriting that we’re seeing in the book these days that could be driving that increase on a sequential or year-over-year and as a percentage of the gross loans as well? 
Brad Kotush: No Jaeme we haven't change any of our underwriting criteria. It’s still strong and within our risk appetites. 
Jaeme Gloyn: Okay. Switching to the growth in the portfolio, still seeing very strong growth out of the BC market and relative to other regions as well. Can you just speak to what you're seeing in that region versus others as being attractive?
Yousry Bissada: The BC market is -- there are many segments to it. There are pockets that we will not lend into our pockets that we still believe are very steady and in fact growing. So we have continuously upgrading our risk models as to what we can and can't and it's been a healthy market for us. We're very confident in the business that we have been doing. And -- so it’s been a healthy quarter and we think it will continue. 
Jaeme Gloyn: Okay. And then I guess Brenna’s question got cut off there and I was curious to hear the answer as well related to the deposit mix. What is driving that change in rate? Is it terming it out or is it the mix between Oaken and broker?
Brad Kotush: It's both of those factors, there are changes in term and in addition we are adding more Oaken.
Jaeme Gloyn: Okay. And would you be able to quantify what's driving the change? Is it one more than the  other?
Yousry Bissada: It’s even.
Jaeme Gloyn: Roughly even, okay. 
Brad Kotush: Yes, there is no magic here Jaeme, it’s just steady as she go and we continue to want to grow Oaken and just have levers on both sides to stay competitive on the deposit sides where Oaken compete and stay competitive on the bank side deposits where we compete. No magic and it’s just been lower rates because the government of Canada’s have been coming down and we’ve been able to attract deposits at the way we want. 
Jaeme Gloyn: Yes. I guess maybe the confusion comes from seeing Oaken GICs increase significantly and broker GICs come down significantly looks like quarter-over-quarter and the general view is that Oaken GICs would be cheaper than broker GICs. Is that a -- do I have that correctly? And if so there must be something else going on there, right?
Yousry Bissada: Broker GICs -- sorry, Oaken GICs for us are a very healthy way to grow. But Oaken GICs, we don't have commission costs but we do have advertising costs and we do have to have a more attractive rate to attract business. And as I said, we just move the levers where we can. And we look at an overall net cost of raising business. And as long as we can keep the mix between Oaken and the bank deposits to do that overall, we'll grow Oaken as much as we can.
Jaeme Gloyn: Okay. So if I understand it correctly, then Oaken GICs net-net would be roughly equal to broker GICs in terms of total cost to fund?
Yousry Bissada: No. 
Benji Katchen: It’s Benji Katchen here. Oaken GICs on interest expense across the curve are roughly 25 to 35 basis points higher than broker GICs. So as we're moving the mix to more Oaken, that's one of the levers that will increase the interest expense.
Jaeme Gloyn: Okay. I see. And would you be able to give us a similar comparison with Oaken savings accounts relative to GICs and then, I guess, also the HISAs?
Benji Katchen: So we don't compare -- we would compare the Oaken savings account to our broker HISA. However, we've not grown our broker HISA. The Oaken savings rate is 230 right now, compared to broker HISA all-in cost of funding at 150, including the 25 bps broker commission.
Operator: [Operator Instructions]. There are no further questions at this time. I will turn the call back over to CEO, Yousry Bissada for closing remarks.
Yousry Bissada: We appreciate your questions and your interest in Home Capital. If you have any further questions, please contact Investor Relations. Thank you for attending this call and have a good day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.